Operator: At this time, I would like to welcome everyone to the Nokia fourth quarter and full year 2007 earnings conference call. (Operator Instructions) I will now turn the call over to Mr. Bill Seymour, Head of Investor Relations.
Bill Seymour: Ladies and gentlemen, welcome to Nokia’s fourth quarter 2007 conference call. I’m Bill Seymour, Head of Nokia Investor Relations. Olli-Pekka Kallasvuo, President and CEO of Nokia; and Rick Simonson, CFO of Nokia, are with me today. During this briefing and call, we will be making forward-looking statements regarding the future business and financial performance of Nokia and its industry. These statements are predictions that involve risks and uncertainties. Actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external, such as general economic and industry conditions, as well as internal operating factors. We have identified these in more detail on pages 12 to 24 in our 2006 20-F and in our press release issued today. Our aim is to finish this call in approximately one hour. To view the supporting slides while listening to the call, please log on to Nokia.com/investor. You may also note an appendix to the slide presentation and we have provided additional slides for your background information. A replay of this call will be available until next Thursday and the call will be archived on our website. As you know, the reorganization of our device businesses has taken effect starting this quarter. We plan on providing you quarterly P&L reconciliation based on the new structure for 2007 as soon as possible, but before Q1 results announcement. As a reference, we’ve posted in the appendix of this presentation the slides we showed at our Capital Markets day pertaining to the change in the structure. Olli-Pekka, please go ahead.
Olli-Pekka Kallasvuo: Good morning and good afternoon. It’s good to be on this call after such an impressive fourth quarter at Nokia. But our performance seems at odds with the volatility we all are witnessing in the equity markets and the financial sector. We closely monitor developments in our markets and the reality as we see it today is that the handset market is strong. We believe channel inventories for the industry and for Nokia are at normal levels. We are expecting a normal seasonal decline in the device market in Q1, and the demand for our products is good. I feel quite good about Nokia’s fundamentals across the globe. The emerging markets continue to see growth. India and China have each been adding seven million new subscribers a month, and Africa is only just starting to take off. The spread of wireless telephony in these regions has delivered great economic benefit and our position in these markets remains strong. In Europe, we are benefiting from strong demand for our new products. In Latin America, we have strong share and have steadily delivered a more diversified portfolio from the entry level to high-end multimedia computers. And in the U.S., while our position continues to be weak, we are delivering on our commitment to supply customized products to the major U.S. carriers. Some time ago, the mobile telephony evolved from a luxury product to a product that people in all markets are dependent on for business and personal communication. I would even say an indispensable tool. There are very few other consumer products today that are as important to people’s everyday lives as their mobile device. Let’s look at the fourth quarter. Our device business continued its excellent performance with market share and margins up nicely as many of our new products clearly started to have a positive impact. We reached an estimated 40% market share in the fourth quarter, and our combined device operating margin was up two percentage points sequentially and eight points year-on-year, showing again that we can simultaneously increase market share and margin. Diluted EPS was up 57% year-on- year excluding special items. Operating cash flow was €2.7 billion for the quarter. And Nokia Siemens Networks continued to see positive momentum with a sequential increase in net sales and with operating margins reaching 4.3% excluding special items and PPA. Also, let me take this opportunity to briefly discuss our decision to start planning for the closure of our facility in Bochum, a decision that has understandably caused much concern among many people in Germany and at Nokia. Despite our best efforts over the years to make the Bochum location more competitive, unfortunately labor and labor-related costs in Germany are simply not competitive enough in the high-volume device manufacturing industry we are in, additionally demonstrated by the fact that we have been unable to attract the necessary component vendors to this site. It is the responsibility of Nokia’s management to ensure Nokia’s global competitiveness over the long term, and to do this, we need to manage our business proactively. Our desire is to start negotiations with employee representatives about the closure of the Bochum site as soon as possible in order to come to a fair resolution. We are doing all we can to ensure that this situation is handled properly, and we are doing our utmost to help the people in Bochum to find alternatives. I would also like to emphasize that we are continuing investments in Germany, investments for innovation and growth, specifically at our sites in Ulm and Berlin. Let’s now take a closer look at the overall device market and our device business. We estimate the fourth-quarter mobile device market volume was 336 million units, growing 16% year-on–year, and 17% sequentially. We estimate the market was approximately 1.14 billion units in 2007, growing 16% compared to 2006. As I said, we believe that global industry channel inventories are at a normal level and our own inventories are at normal, healthy level. It is also worth noting as a comparison that our channel inventories were lower exiting 2007 than they were exiting 2006. On to the product highlights for the fourth quarter, in the fourth quarter we faced our biggest ramp up of new products ever, even while we had component shortages as we ended the quarter, so we certainly had our work cut out for us. I’m pleased to say our teams and suppliers really delivered. In the entry level, the new Nokia 1200 and 1208 based on our single chip platform ramped well. These two products combined shipped over 20 million units in the quarter, a big increase from just over 3 million units in Q3, so a really impressive accomplishment. The Nokia 1110 and 1600 families still had big volumes during the Q, combining to over 30 million units. The Nokia 2630 Barracuda started shipping in volumes in the quarter and was already in our top ten volumes. In the mid-range, the Nokia 6300 continued its good momentum, shipping over 7 million units in the fourth quarter. During the quarter, we also started volume shipments of the Nokia 6500 family and the Nokia 5310 and 5610 XpressMusic devices. The demand was good for all of these devices. In fact, the 6500 family was already in the top five for revenue and profit, and sold approximately 1.5 million units in Europe alone. The new 5310 and 5610 were also strong contributors of both revenue and profit in Q4. Nokia N-series multimedia computers had volumes of well over 11 million units during Q4 and the Nokia N73 and N95 were again the biggest products in revenue for multimedia during the quarter. The N95 continued to see excellent demand and was the number one profit contributor for Nokia. During the fourth quarter, the new N95 8-gig came out of the gate very strong, especially in Europe, performing better than we expected. The combined N95 volumes were up 30% sequentially and we also sold almost 6 million units since the device started selling. For Enterprise Solutions, the Nokia E65 was again the best selling product. And the newest products, the Nokia E90 Communicator and the E51, also performed very well in the Q. During the quarter, we shipped almost 19 million converged devices in total. In 2007, we clearly improved our product portfolio with products like the 6300 and N95 leading the way. But I’m pleased to see that the new products we started shipping in volumes in the fourth quarter are helping to diversify our portfolio further. New products that started shipping in volume in Q4 made up about 30% of our device revenue and profit in the Q. Now the important products for the first quarter; in the entry level, we expect the Nokia 1200 and 1208 will ship in very high volumes while we expect the 1110 and 1600 families will start their ramp down. We are also expecting the Nokia 2630 Barracuda to continue its good momentum. We plan to start shipping the recently announced Nokia 2600 Classic, a thin entry product with changeable covers. In the midrange, we expect that the Nokia 6300, the Nokia 6500 family, and the Nokia 5310 and 5610 XpressMusic devices will be big sellers. For the N-series, the significant products I expected to again be the Nokia N95 and N73 multimedia computers. The Nokia N82, which we have started to ship in Q4, will see significant promotional activity during the quarter. For the E-series, we expect the key products will be the Nokia E65, E90 Communicator, and the Nokia E51. Going to Nokia Siemens Networks, which again delivered improved results with a sequential increase in net sales and margins in the fourth quarter; Rick will talk in greater detail about NSN’s Q4 financial performance and outlook. Let me highlight some important business developments at NSN. Portfolio development included the announcement of two acquisitions: Atrica in the Carrier Ethernet space, and the pending acquisition of Apertio, a leading provider of open real-time subscriber data platforms and applications. Important deals included an approximately $1 billion turnkey 2G and 3G network contract with Zain in the Kingdom of Saudi Arabia, a major contract with NTT DoCoMo for LTE, and a strategic partnership with Deutsche Telekom for managed services and next-generation network modernization. During the fourth quarter, Verizon Wireless announced its decision to migrate its network to LTE beginning in 2010. Nokia Siemens Networks was selected as a supplier for the trial network. In summary, we believe progress at NSN was good in Q4 but much work remains in order to reach our ambitions. Now I will pass over to Rick for more on the financials.
Richard A. Simonson: Thanks, Olli-Pekka. First to echo a bit what Olli-Pekka has said regarding current macro events and of course we have our eyes wide open, we continue to actively monitor world economic markets in general and specifically our own device and infrastructure markets globally. But let me state clearly here that for Nokia and for our industry, which are the areas where we do have some specific insight, we are currently seeing a healthy market and good underlying demand for Nokia products. We continue to expect overall device industry unit growth to be approximately 10% in 2008 with some value growth. The United States is less than 5% of our revenue. We are working to improve materially in the mid to long run, but currently our exposure to the U.S. economy certainly is low. Our estimated global device share was 38% in 2007 and we target to increase it this year. Our share in Q4 at 40% was almost 3 times that of the number two, Samsung, further expanding our valuable economies of scale. And in fact, our Q4 volumes look likely to be close to the combined volumes of our next four competitors when all the numbers are tallied up. By survey, we have the fifth most valuable brand in the world and we are number one in many of the highest growth markets like Asia-Pacific. And we are successfully managing one of the most complex logistics and manufacturing chains in the world, producing an unprecedented 1.5 million devices per day on average in the fourth quarter. So given our forecast for industry market growth and the growth of Nokia’s market share, we see good growth in our core device business for this year. Looking a little bit further out, we believe our pending acquisitions of NAVTEQ and continuing implementation of our internet services strategy will provide us with an opportunity for growth in the future and further distinguish us from the current competition. Looking at NSN, we believe the ongoing restructuring there will help to deliver the targeted margin improvement and that this would also be a positive value driver if it is achieved. We began to see in 2006 and really started to realize in 2007 the benefits of improving product portfolio that produce good margins. As we start 2008, we are confident that we have the best and broadest device portfolio in the industry. These margins and our excellent working capital management have yielded consistent and increasing cash flow. Now over the past several years, we have returned a lot of this cash to our shareholders in the form of increasing dividend and substantial ongoing share buybacks. I think today’s proposals for both this year’s dividend and buyback demonstrate a continuing commitment to an efficient distribution of excess capital to our shareholders. So we believe that our operational and strategic assets and what we call Nokia’s core virtues are valuable in all market environments. And with these strengths, good execution in any market conditions is going to enable us further distinguish ourselves from the competition. They just do not have market position, the brand, the scale, the distribution, the growth profile, or the cash flow that Nokia has. So let me cover the Nokia overall financials, looking first at our device business and then followed by Nokia Siemens Networks. In the fourth quarter, Nokia net sales were up 22% sequentially. Gross margin was 36.3%, up 200 basis points from Q3. The combined devices businesses gross margin was up over 200 basis points sequentially in the fourth quarter. Nokia’s operating margin was 15.9% in Q4 excluding special items of 130 basis points sequentially. The 15.9% Nokia operating margin included the negative impact of €129 million associated with the NSN purchase price accounting items. The operating margin of the combined device businesses continued its strong upward trend for the fifth quarter in a row, up over 200 basis points sequentially. Mobile Phone’s operating margin was up 240 basis points sequentially, driven by improved gross margin as the OpEx was up slightly as a percent of sales. Multimedia’s operating margin was down slightly sequentially, driven by higher OpEx as a percentage of sales, offsetting an increased gross margin. In Enterprise Solutions, operating margin there was up almost 1 percentage point sequentially, driven by lower OpEx as a percent of sales. For the first quarter, we believe OpEx will be up sequentially as a percentage of sales for the device business, driven by the normal Q1 seasonality. And as we said in our press release today, our overall volumes for the fourth quarter continued to be somewhat constrained by component shortages. In the first quarter, it looks like these have eased and we are working well with our vendors to get the necessary supply to match the good demand for our products. Nokia’s fourth quarter device average selling price or ASP was €83, up slightly sequentially from €82 in Q3 and down 7% year-on-year from €89 in Q4 2006. The slight sequential increase in ASP in the fourth quarter reflected a greater percentage of sales from recently launched mid and high-end devices, which offset continued robust sales from the entry-level segment. The lower year-on-year ASP in the fourth quarter 2007 was primarily the result of the significantly higher portion of entry-level device sales and some negative effect of the weaker U.S. dollar on Nokia’s reported sales. Now, a few highlights on Nokia Siemens Networks financials; as Olli-Pekka said, NSN delivered improved performance in quarter four. Net sales were up 25% sequentially, primarily reflecting seasonally strong operator spending at the end of the year and a favorable outcome from assessment of certain acquired contracts as we worked through the merger. NSN’s operating margin was 4.3%, excluding special items and items associated with purchase price accounting. That’s up from a similar 3% number in quarter three. And for your reference, we put a slide in the appendix of the presentation that lays out how these special items in PPA hit the NSN’s profit and loss statement. Let me update you now on the synergy and the integration process for Nokia Siemens Networks. As we stated at our Capital Markets Day recently, NSN remains on track to deliver against its €2 billion cost synergy goal. That’s €2 billion per year cost synergy goal, and since its inception, NSN’s direct personnel related to the cost synergies have been reduced by approximately 4,200, with a significant portion occurring in quarter four. To date, NSN has closed two R&D sites and exited from about 270 locations and is well on its way of meeting its real estate synergy goals. They have completed negotiations with all key suppliers; covering close to 100% of NSN’s purchasing volume. So overall, we think that the fourth quarter shows that NSN is headed in the right direction. The organization knows what needs to be done. It’s well aligned to act accordingly in the coming months and quarters in what all of you recognize as a challenging industry environment. If we summarize the total special items for Nokia in the fourth quarter, it adds up to a net negative €13 million. All the special items are outlined on the slide and in the press release today. Excluding these special items, the fourth quarter operating margin was 15.9%. Diluted EPS was €0.47 excluding special items. In Nokia Siemens Networks, €129 million of items associated with purchase price accounting are included in NSN’s operating margins and Nokia’s EPS number. If you exclude these items along with the net negative impact of the €13 million in special items, EPS would have been slightly higher than the €0.47. Regarding the planned closure of the Bochum facility given that we are currently in the employee negotiation process, we are not able to quantify the amount of possible charges or the timing of such charges, but we will do so in conjunction with our normal reporting practices. In terms of NSN restructuring charges, we did not realize as much as we expected and communicated last quarter. The €119 million restructuring charge in quarter four was significantly below the level we had expected at that time. The reason is the plan has somewhat changed and this together with complex accounting rules around project accounting has resulted in change and delay in recognizing these costs. The recognition of the restructuring charge is not indicative of the polygraphs of the cost synergies, which I have already stated are fully on track. Nokia Group tax rate in the fourth quarter was approximately 30%. Nokia, excluding NSN tax rate for the fourth quarter, was in line with our 26% estimate. In addition, there was tax expense related to NSN despite its breakeven profit performance. This expense was driven by refinements to previous estimates in certain discrete Q4 items. Next, let’s look at some of Nokia’s balance sheet and cash flow items. Inventory was stable in the fourth quarter. Accounts receivable up sequentially but down as a percentage of sales. And our cash and other liquid assets totaled €11.8 billion at the end of the fourth quarter. Our cash and other liquid assets are of very high quality. We consciously avoided structured investments such as subprime and CDOs and thus we have had effectively no negative impact from the continuing financial markets turmoil. Total operating cash flow for the fourth quarter was €2.7 billion and in 2007, it was €7.9 billion. Nokia has, I think, been a model for cash conversion leading to free cash flow generation; making us I believe one of the best cash stories in technology. If you are looking for one thing in the overall equity markets to distinguish performance in 2008, pay attention to cash conversion and free cash flow. I believe that these may be one of the defining metrics separating the winners from the losers. On to currencies, the reported fourth quarter year-on-year net sales growth was 34% and in constant currencies would have been 40%. The weaker U.S. dollar had a negative impact on our net sales both year-on-year as well as sequentially. As I mentioned before, the year-on-year decline in ASP was in part impacted by currency. The impact on operating profitability from the weaker dollar was clearly smaller as we have a significant dollar cost base. In addition, we effectively hedged the residual currency exposures in order to protect the operating profitability, business as usual. So I would like to summarize up to you the relevant Board of Director proposals and announcements that came out today in our press release. The Nokia Board of Directors proposed an annual dividend of €0.53 per share, up 23% from last year’s dividend. And in terms of the buyback, our Board has authorized a new €5 billion to be used to continue to buyback program, € 4 billion of which is subject to authorization by the AGM in May, the Annual General Meeting, as is normal course. As for our outlook for Nokia, NSN, and the industry, please refer to the earnings release in the slide attached. Now back to you, Olli-Pekka.
Olli-Pekka Kallasvuo: Thanks very much, Rick. I would like to conclude by talking a little bit about the future, first on software and services. As we said at our Capital Markets Day in December, we expect the internet services market to be approximately €100 billion in 2010. This as I see is a significant opportunity for Nokia that must be taken. It is a market with new competitors that requires a different way of executing if we expect to be successful. On January 1, we took a significant step towards doing this when we created our new Services and Software business unit. So how is it going? Well, it’s early days, but there are some encouraging signs. The revenue from internet services is very small, but the momentum has been good and operators are responding positively to our internet services plans. As you know, we have agreements with Vodafone, Telecom Italia, and Telefonica. We expect to sign agreements with more operators this year. We launched the Nokia Music Store service in the UK and have seen some positive trends. Apex rates to N95s and N81s sold in the UK are higher than expected. Users are buying an average of 15 tracks a month from the Nokia Music Store. And showing the potential of music in data traffic, approximately 25% of all downloads from the Nokia Music Store were done over the air. Over the next several months, we will launch the Nokia Music Store in several other markets globally including Spain, Italy, Germany, Finland, Australia, and Singapore. In navigation, the service apex rates of devices like the N95 has been encouraging and we continue to improve the user experience. We have A: GPS support, initial time to fix has improved remarkably, and user range is between 5 and 15 seconds. In the future, we believe we can lower this even more as well as introduce enhancements to the overall experience users have been using Nokia Maps. In closing, I would like to thank the Nokia team for their efforts in delivering such good results. In the future, Nokia will remain intensely focused on execution and we can assure you we will not underestimate the competition. I believe that our strengths put us in a good position for 2008. Thank you very much.
Bill Seymour: Thanks Olli-Pekka. We will now continue with the Q&A session. Please limit yourself to one question only. Operator, please go ahead. 
Operator: (Operator Instructions) And your first question will come from the line of Phil Cusick with Bear Stearns.
Phil Cusick - Bear Stearns: First, I want to talk about the handset guidance for the first quarter. You’re suggesting stable share for Nokia in the first quarter, which is unusual given your geographic exposure, and typically you lose share sequentially in the first quarter. Can you talk about why you expect to maintain share? I think it’s a pretty strong statement about where you are in terms of the competitive level.
Olli-Pekka Kallasvuo: So if you look at the development in the fourth quarter, in fact, Phil, we took share and we came to the 40% level, and in fact if you analyze our assets, more exactly where did it come from. So we really did gain share in Middle East and Africa in comparison to the earlier years. And in that way, the growth in that area is something at the moment one nearly needs to remember and really include in the estimates. And I believe there is a possibility to continue in a very good way in that area, and that might come to play. I am saying this as an example simply because of the fact that at the moment, of course, the diversity of our business between different geographies is not necessarily the same it has been in the past, and it comes to play here when assessing, for instance, sequential market share.
Richard A. Simonson: I think, too, that really identifies where this growth is. We are well positioned to take advantage of it, but also people rightly look at Europe. How do you do in Europe? We did very well in the quarter there, and I think we picked up some share coming from Q3 to Q4, but as we said before, the inventory channels look good, the demand looks good, and it’s all about the product portfolio being appealing in that market. So I think that’s part of the reason that allows us to, Phil, make the statement that approximately flat market share in the first quarter compared to quarter four.
Phil Cusick - Bear Stearns: If I can follow-up on that, just given that we are seeing a shift from previous years, is the mix going to change substantially from the 4Q as well, or are we going to be pretty steady?
Olli-Pekka Kallasvuo: I think, of course, these changes here; they are not dramatic, no. So in that, I don’t think you can draw that conclusion. It’s really the evolution when it comes to mix changes. It is not that fast, but we simply want to highlight the point that different geographies can really happen in a different way. And so, there is always some type of volatility between different markets in a given quarter.
Operator: The next question will come from the line of Tim Boddy - Goldman Sachs.
Tim Boddy - Goldman Sachs: I’d like to just ask about your overall market guidance, and obviously, you made some comments on the economy. It’s good to hear you are not seeing any weakness. I guess part of the problem is, whilst handsets are unlikely to be the most economically exposed segment, there is likely to be some exposure if we see, for example, a recession in Europe as well as the United States. It would be very helpful if you could try and dimension if we did see that, and I appreciate we are not seeing that now but if we did see it, how would that affect your business? And in your 10% growth forecast for the markets, have you assumed some kind of economic weakening within Europe specifically?
Olli-Pekka Kallasvuo: Yes, when it comes to the overall macroeconomic discussion, I at least cannot add anything to the discussion that has been ongoing. Rick might make an effort, I don’t believe he will. And so in that vein, we really need to assess how we see the markets here and what’s our situation. If I look, I could almost refer to the previous answer I gave in the way that I said this in a CNBC call. Some of you might have noted that. A big part of the population in this world don’t know what the Fed is. They have not heard about Bernanke but they have to buy mobile phones. It’s a necessity item to them, and in that way more and more people simply cannot be without a phone. And in the past there has not been a link between these cycles, and penetration increases, and hand replacement. But of course we are no experts when it comes to the economy, but the estimates we have given on the market. We are not the best possible experts when it comes to the economy. We have to be that to some extent. When it comes to the market, the 10%, really it’s based pretty much on a very original concrete situation, how we see the markets in the countries, how do we see the trends happen, and in that way, it’s something that we feel is quite solid.
Richard A. Simonson: Yes, and Olli-Pekka, I wouldn’t be foolish enough to step in and comment on the economy and pretend to be an expert there. But I think it’s important as you said that in the beginning of December, we set the 10% level, and here we are at the end of January and we feel good about confirming that. And there has been a lot that has happened between that, and we’ve been aware of it. And you can be sure that we have a flexible organization in terms of our servicing, our manufacturing, our distribution, and that works well in any market. So we feel good about the industry guidance that we gave for volume growth and some value growth in the industry.
Operator: Your next question will come from the line of Mike Walkley - Piper Jaffray.
Mike Walkley - Piper Jaffray: I was wondering if I could dig in a little bit more to the lower end of your portfolio. There have been several competitors indicating they want to go more into the low end. I was wondering if you could update us if you’re seeing any of your larger OEM competitors in the sub-€50 or even in the sub-€30 segment, and how you see that segment in terms of competitive threat from maybe Asia or other players longer term.
Olli-Pekka Kallasvuo: Okay, I think there has quite a lot of talk here in the past when it comes to entering the low end, and that talk that we need to take very seriously has been ongoing here now as well. And it’s very clear; make no mistake about that, that some of our competitors have ambitions when it comes to the low end of the market. We are taking that very seriously. We are watching them, and hence we really need to look at our competitive position and the way we work really in a way that we don’t rest and become complacent in that respect. I think especially Samsung’s ambitions need to be taken seriously. They will make an effort, but how low can they come here? I think that’s a big question. So really looking at the sub-€30 market, it’s extremely tough. You need extremely big volumes in order to get there and be competitive and make money. And so far we have been able to defend in a pretty proactive way that market.
Operator: Your next question will come from the line of Andrew Griffin - Merrill Lynch.
Andrew Griffin - Merrill Lynch: Hi there, guys. Just following on the low-end question is, what happened in China, where if I ex out your NSN grew revenues, it looks like handset revenues actually fell sequentially. Your units were up, implying quite a big fall in average selling prices.
Olli-Pekka Kallasvuo: Yes, again there, this might sound a bit superficial when I say that in China, I think the situation is business as usual. We didn’t see any change in the market dynamics that would indicate that we would be somehow losing our position or losing market share in that market. There is always some volatility between the quarters. That’s a natural part of this business, has always been, will always be. But a change in the competitive dynamics in China, we have not seen.
Richard A. Simonson: Let me add there if I may. I mean China, we have to understand and has been growing at six, seven million new subscribers per month and that’s after having many years of explosive growth. It’s interesting. China has always been a higher ASP market than people would have thought. You need to look deeper in there, and that’s reflective of them purchasing across all spectrum. But the real acceleration has been in this sub-€30 end we have seen over the year, and also sequentially quarter-on-quarter, a real push there. And that’s reflected in our numbers. It’s reflected by the push by CMCC. And so that is a factor in the overall market and not to be mistaken for Nokia’s market position in the dynamics as Olli-Pekka mentioned.
Operator: Your next question will come from the line of Sherief Bakr - Citigroup.
Sherief Bakr - Citigroup: Just a question really on market share in terms of your ambitions over the next 12-18 months in terms of how much additional share you believe that you can actually take. You talk about in the low end, about in the sub-€30 segment there being very high barriers to entry because of scale. I was wondering how much higher can your share go in markets such as Africa, the Middle East and Africa, or in some of the Asian markets. And maybe looking at it from a different angle in terms of Europe as you start to see or probably start seeing increasing competition, is there a risk that share in Europe could have actually plateaued or can you actually take additional share or whether there is some risk that share could come down?
Olli-Pekka Kallasvuo: So, the overall market share thinking when it comes to our target setting; so we have clearly, internally, articulated that we want more than 40%. We have not gotten fixated to a number, that’s very clear. So, we are not saying its 41% or 43%. We are not giving a target like that, not even internally because economies of scale don’t stop on a certain level. They continue to increase the higher you go. But of course, it’s very true at the same time that this is tough and there are no pockets here that you could simplify and say these still give me a lot. And in that way this is very, very consistent and hard work in different places here not to lose and gain. And in that way, there is no magic bullet here. Then of course having said that, it’s very clear that the markets like we have discussed many times before, the markets where our market share is highest are growing more rapidly than some of the other markets. And in that way, we have this type of dynamism here that relates to the diversity of business and to the structure in all of our sales in different markets and that comes to play here. And it’s very clear we’ve got some upside in the U.S., no doubt about that, CDMA definitely. Once we ramp up in the new mode of working, it will come to play here and definitely we have got quite a lot of plans with regard to Japan as well. So in that way, those markets are getting special attention. Nowhere in this organization have we articulated that this market share is too high. Any given market, nowhere, everybody has the same target setting, take more share. And that I think is widely understood, but it never happens overnight because there are no miracles that are possible here.
Operator: Your next question will come from the line of Rod Hall – JP Morgan.
Rod Hall – JP Morgan: Just a quick one, I guess it’s an obvious one. The margins are very high, even if you look at the devices and services definition, it looks to me like you’re 22.5%, 22.8%. That’s quite a lot higher than the 20% guidance you gave. And I wonder if you could just give us some indication of were these things that have been an anomaly this quarter or you’re wondering whether you’re going to be able to sustain these margin levels going forward.
Richard A. Simonson: I think you lay out in a little bit of shorthand what we talked a lot about at Capital Markets and we lay out in terms of the devices and services combined margin targets for the midterm at this 20% plus or minus. As I mentioned, when things are hitting well and you’re executing well, you should be able to do above 20%. Sometimes you might be at that or a little bit lower because as Olli-Pekka said, there isn’t anything given in this business and competitive cycles change, and we are we are investing for innovation and growth. And we think that performance like in the fourth quarter where you really take advantage of that gives you that flexibility and the cash flow to invest. So, of course, we’re going to see a little bit above and below around that 20%. We feel real good about taking advantage of a strong fourth quarter. That seasonality always helps you to exploit that going into the first quarter, in that of course, you get the normal seasonal change there in the marketplace. So, we firmly believe and stand by the fact that we’re getting advantages of scale. We’ve shown that there was more to get 2007 than what people might have thought in 2006. We will take market share where we can take it sustainable and profitably, as Olli-Pekka mentioned, and we should get some benefit there. But obviously in terms of some of the shorter term drivers as I mentioned, is the seasonality Q1. Plus we are going to have OpEx as a percentage of sales normally goes up there a little bit and has an impact and competitive factors in general. So you got the numbers right. They are consistent with what we had at Capital Markets Day and link well I think into understanding the normal seasonality. Maybe, Olli-Pekka, do you wish to add there?
Olli-Pekka Kallasvuo: That was a comprehensive answer, but if I just add to that comprehensive answer that really the stars were really aligned in the fourth quarter.
Operator: Your next question will come from the line of Stuart Jeffrey - Lehman Brothers.
Stuart Jeffrey - Lehman Brothers: A question again just touching on that margin issue, your margins are close to an all-time high, pretty close to the target that your competitors have been enjoying in the past, but I am sure they are very nice margins right now. Do you sense that maybe there is a risk of you becoming arguably greedy in that by having such high margins, you’re not putting as much pressure on the competitors that perhaps you should be. And that may allow them to reinvest themselves into new product lines, new product portfolios over the next 12 to 18 months? So, is there a risk that right now, you’re enjoying the gains too much like perhaps you did in 2003, and that you need to take some action to hurt your competitors a bit more?
Olli-Pekka Kallasvuo: Yes, my answer for that one would really be that the thinking hereof course you have to be tactical in the market space. You have to in the right way always combine margin and share, margin and volume. And that’s the fine art of managing a business, and I think we have a lot of great people doing that on a day-to-day basis in the marketplace. And the target setting, of course overall if I simplify here, that has been given take market share, but do that not sacrificing the margins too much. This means we have set the overall direction when it comes to target setting, take market share. But like I said, we understand that we cannot, and we should not in fact be too greedy with the markets here trying to take too much at one goal. We need to be consistent. We need to be able to take share in a sustainable way. Meaning both sustainable in terms of profitability and sustainable in the way that what you get and take, you can maintain that overall level where you have come to. And that consistency in the thinking here continues to be applicable. And in that way, I hear what you are saying. I think it’s a good question, but I don’t really feel we are acting in the way you are implying.
Operator: Your next question will come from the line of Tim Long - Banc of America.
Tim Long - Banc of America: Rick, maybe one for you on the gross margin side, obviously, great performance across almost all the businesses here. Could you just talk to us a little about the moving parts when we think about how sustainable the gross margin performance could be? Maybe if you can talk about the component side, if there was an impact one way or the other on the tight components, the impact maybe on having some of your products on allocation and what new products in the mix, which I guess were about 30% net at the gross margin line and how we think about it going forward? And then, Olli-Pekka, if you could just clarify, I think you said the channel inventories were lower than they were a year ago. I’m just curious if your volumes are 25% or so higher entering this year, does that just mean that inventories were too high a year ago? How is that not a positive as you look into next quarter and how does that not translate into lower channel inventories than normal?
Richard A. Simonson: Okay, Tim; we will take in the order you asked in terms of looking at gross margin. Here you asked a number of questions. Let me try to step through them in a clear way. One thing that is important about the gross margin development we’ve had and the sustainability of that, and one of the things that we think gives us some comfort going forward is, think about the gross margins in the low end and the ultra-low end. We brought those up through the execution of our refresh of the product portfolio there, continuing refresh, coupled with the distribution system, and we brought it up into the mid-20s level last year. We worked that higher this year, as we said previously. We’ve gotten those margins up to a mark not too different than what we had defined as the overall mobile phone margins. That’s very important that if you can maintain margin profile in the entry level and ultra-low end level, and that’s where the volume is coming from, and the growth is coming from, that’s real important. That gives you a base to work from. And as you mentioned in terms of component price, I think there was some concern by many as people asked about with commodity prices rising and that aren’t you going to be unable to get your normal pricing erosion. In fact we didn’t see that. While we are not immune to commodity prices, it really had not impacted us. And we were able to do better in some other areas, again taking advantage of our scale, taking advantage of working closer with our suppliers so they can minimize their cost along the chain. And so we did do very well there in terms of component cost. And then in terms of allocation, if the question was implying that because we have some component constraints and therefore we are short of little bit of capacity on some devices and that caused us to be able to price those higher, I don’t look at it that way. Allocation to me is when you have such demand for a product that you can’t get it out there. Then you are able to reduce the price. So we didn’t get any benefit in the gross margin from the fact that we were short on a few components, if that was the angle of the question there.
Olli-Pekka Kallasvuo: Yes, I said some inventories fell lower exiting 2007 than they have exited 2006. And when I say, and it’s a good clarification, I mean DOS, days of supply number. I’m not referring as such to the absolute number because days of supplies is the number that we follow.
Richard A. Simonson: Because we were in a bigger, growing market, so inventory goes up when we have spectacular growth in the market in the absolute, but the days of sales in inventory channel number lower as we exited ‘07 than we did in ‘06 in the device market.
Operator: Your next question will come from the line of Kulbinder Garcha - Credit Suisse.
Kulbinder Garcha - Credit Suisse: Two quick questions, the first one is Nokia’s own inventory sequentially grows in the fourth quarter. Typically, that has gone down in absolute terms. Could you give any color? Is that just because the consolidation of Nokia Siemens is causing that or something else? Any color there will be appreciated. The second thing is a more general question, which is in 2007, we obviously saw Nokia make great strides in their product portfolio, and I’m just wondering. Olli-Pekka or Rick, when you look at your portfolio now, where the gaps are left for obvious improvement either from a product competitive point of view or gross margin point of view, any insight as to where there are any more easy gains can be made would be helpful.
Richard A. Simonson: I will start on the inventory and then we will move to the portfolio with Olli-Pekka. Thanks for the clarification question there because it is one that needs precision here, and we are not concerned about the inventory levels. We were right in the middle of very high product transition and ramp-up of new products, as well as we were having very good sequential growth. You go into the fourth quarter, typically as we have talked before, the biggest sales in the fourth quarter are period ten and eleven, not period twelve. So in other words, not December. You do always have a fall-off in sales in December compared to November and earlier. That’s how the quarter shapes up. And in this year actually we had less of a decline in sales from November to December than we did last year, and that’s indicative of still good momentum, good strength in the marketplace. It gives one data point for why we have given the guidance that we have about how quarter one is shaping up and it also explains in most part where we are in terms of the inventory and absolute level behaving as you pointed out. So as we go into the normal channel, the normal seasonality in the first quarter, we think we’re very well set given the fact of working in the sales channel and how this stronger sales in December compared to the normal fall-off between November and December happened this year; no undue concern there at all. Quite the contrary, we feel that the overall situation is well managed.
Olli-Pekka Kallasvuo: Okay and I will take the last one or the latter one. So I think it’s a very good question and of course that’s something that we are working day to night on, on that question. I would say the biggest upside for us here is in the user interface and in combining the device and the experience or service together, and in that way of the consumer solution. So if we limit ourselves thinking about the device only here, we are not making justice to the possibilities that we have in this industry. Looking at the user interface, looking at the combination of the experience, having constant music is a great example here and there are many, many others? So that’s really where the opportunities are. Having said that, of course, we cannot forget, vice versa, the physical design of the product. That’s of course something where a lot of work needs to go in too, but it is the big upside. So our user interface solution’s a combination of experience and service. Monetization then can happen here with a hardware business model, having an ASP supporting impact, or even as a service revenue. That’s very often like a tactical decision that you make on a day-to-day basis.
Operator: And this morning’s final question will come from the line of Mark Sue - RBC Capital Markets.
Mark Sue - RBC Capital Markets: Olli-Pekka, just on North America, you’re making the biggest push at a time when you have the greatest headwinds. What’s a reasonable level of expectations for Nokia in the U.S., units, market share? And is it a very fluid target and should we see Nokia throttle back its efforts since the timing might be off?
Olli-Pekka Kallasvuo: I think again, and I of course sound like a broken record here, but I don’t think you can look at the U.S. market as one total. It’s AT&T, T-Mobile, Sprint Nextel, and Verizon. And your ambitions, your target, your strategies need to be different here, because here one size will not fit all. And that has been the basis we have been working on for quite some time now. And with each of these customers, the strategy is different, but we’re counting on progress in 2008. I mean to me saying that, not today, not this year, it’s too difficult, is not an option. So the right time is right now, continues to be right now. I don’t hesitate at all saying that.
Mark Sue - RBC Capital Markets: If we see Europe slow a bit, will you push harder into the U.S. or is that a too simplistic view?
Richard A. Simonson: Maybe, Mark, we push at the rate that we think we can meet the customers’ expectation. It has nothing to do with another region. And so, you don’t have more to push with just because Europe would behave one way or the other. Our organization, those people responsible are pushing as much as is possible in the U.S. regardless of what’s going on in the other dynamics, because it’s four different operators. It’s very customized and I think the right time for variety in the U.S. is right now and where we are coming from, I don’t think it changes our strategy or execution one bit of what the shorter term views are in terms of how that market tracks.
Bill Seymour: Ladies and gentlemen, this concludes our conference call. I would like to remind you that during the conference call today, we have made a number of forward-looking statements that involve risks and uncertainties. Actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external, such as general economic and industry conditions as well as internal operating factors. We have identified these in more detail on pages 12 to 24 in our 2006 20-F and on our press release issued today. Thank you and have a nice day.